Operator: Good morning, and welcome to The ODP Corporation's Second Quarter 2022 Earnings Conference Call. [Operator Instructions] At the request of ODP Corporation, today's call is being recorded. I would now like to introduce Tim Perrott, Vice President, Investor Relations. Mr. Perrott, you may now begin.
Tim Perrott: Good morning, and thank you for joining us for The ODP Corporation's Second Quarter 2022 Earnings Conference Call. This is Tim Perrott, and I'm here with Gerry Smith, our CEO; and Anthony Scaglione, our Executive Vice President and CFO. We will begin today's call with Gerry, who will provide an update on the business, focusing much of his commentary on our accomplishments in the quarter, including our operational performance and the progress we are making on all of our initiatives to continue driving shareholder value. After Gerry's commentary, Anthony will then review the company's financial results, including the highlights of our divisional performance. Following Anthony's comments, we will open up the line for your questions. Before we begin, I need to inform you that certain comments made on this call include forward-looking statements, which are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect the company's current expectations concerning future events and are subject to a number of risks and uncertainties that cause actual results to differ materially. A detailed discussion of these risks and uncertainties are contained in the company's filings with the U.S. Securities and Exchange Commission. During the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings as well as the earnings press release, presentation slides that accompany today's comments and reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are all available on our website at investor.theodpcorp.com. Today's call and slide presentation is being simulcast on our website and will be archived there for at least 1 year. I will now turn the call over to Gerry Smith. Gerry?
Gerry Smith: Thank you, Tim. Good morning to everyone joining our call today. We appreciate you joining us this morning and hope that all of our listeners and their families continue to remain safe and healthy. I'm excited to be here with you today to discuss our results and accomplishments for the second quarter. We've continued our strong operational focus from the beginning of the year and our performance in the quarter reflects our ongoing commitment to our low-cost model and to the core tenets that drive our business. We delivered solid results despite the numerous market-wide challenges while making progress on our initiatives to complete the foundation of the new ODP and our 4 distinct business unit structure. Additionally, as we announced in July, we took action to enhance returns for our shareholders, putting in place a new share repurchase authorization and commencing a Dutch auction cash tender offer. Overall, I'm extremely enthusiastic about the opportunities ahead for our business and how our Better Together strategy and business unit realignment has us positioned to drive growth and value for shareholders in the future. Turning to Slide 4 of the presentation. Our team continues to rise to the challenges posed by the macroeconomic environment. We have witnessed the highest inflation in over 40 years as well as sourcing and supply chain conditions that continue to be impacted by higher fuel costs, supply chain constraints and higher labor costs, while the lingering effects of COVID continue to have an impact on the nature of how people work. All of these conditions have created significant challenges not only for our business but for many companies across many industries. While these conditions are having an impact to our business, I'm very proud of our team for once again remain focused in delivering solid performance, consistent with our preannouncement of preliminary results while also advancing the foundation of our new business unit structure. We accomplished this performance by remaining true to the core tenants that drive our business, driving a low-cost model, expanding our value proposition and moving into higher-value businesses to pursue new avenues of growth. As reflected in our results, we're executing along these priorities leveraging the strength of our business model and the flexibility of our infrastructure to address the market demands. We continue to drive our low-cost model, providing compelling value for our customers and helping us generate solid operating results. We're also remaining flexible to serve customers in new ways, whether at home or in the office and expanding our value proposition by continuing to provide a broader set of products and services. We're also continuing to invest in our digital platform capabilities through our Varis business unit as well as our supply chain and distribution business Veyer to support the near-term and future state of the business. Under new leadership in ODP Business Solutions, we're enhancing our disciplined focus on profitable growth, driving improved results as more business customers return to the office. And lastly, our B2C business continues to meet our customer needs as a home install business office superstore and we are making great progress in positioning this business for continued success. We believe all of these actions are enhancing our foundation to drive increased long-term value for shareholders. Now turning to the highlights of our major accomplishments for the second quarter, as shown on Slide 5. Consistent with our preannouncement, we delivered solid operating performance in the quarter despite the industry-wide challenges related inflation and supply chain constraints. Our top line revenue performance remained healthy and our low-cost model approach, combined with flexible pricing and distribution strategies hope to drive solid operating results despite the more challenging backdrop in the quarter. Next, we made significant progress in the quarter on our strategic initiatives. As we announced in June, after reviewing alternatives for our consumer business, and considering current market conditions, our Board of Directors unanimously determined it is the best interest of the company and its shareholders not to divest the consumer business or pursue a public company separation at this time. That said, we've made progress in aligning our operating businesses into our B2C business and 3 distinct B2B businesses. This enables our dedicated teams to focus on meeting the respective customer needs and implement channel civic go-to-market strategies. There is still work to be completed to fully operationalize realignment but soon, these changes will enable us to provide greater visibility into these operating businesses and their performance on a go-forward basis. With the realignment, we will be able to provide clarity and economic performance at each business unit and give our investors the opportunity to understand our value drivers more directly, which should lead to greater shareholder value over time. Additionally, we are better together by enabling the full capabilities our business utilizing our holding company structure and through better alignment of resources to their long-term growth opportunities. Next, we continue to make progress on our efforts to pursue new avenues of growth, supporting one of our key tenets of driving new avenues of growth in the higher-value markets. We're advancing our digital platform business, Varis, receiving positive feedback from our private preview launch on the Microsoft platform and making progress on adding new customers and suppliers to the ecosystem. We're also making progress on solidifying the foundation for Veyer, our logistics and supply chain business, enhancing our supply chain capabilities and aligning our assets to support our captive B2C and B2B businesses today and leverage existing and new customers to drive accelerated growth in the future. This year will mark an important milestone for Veyer as we move closer to launching the business, and we continue to expand our data-driven platform to support our current and future routes to market. Finally, as part of our effort to enhance return for our shareholders, we completed our accelerated share buyback plan during the quarter. Through the ASR that we put in place in November of last year, we retired over 3.5 million shares in the program. Additionally, our Board of Directors approved a new $600 million share repurchase authorization initiated a $300 million, Dutch auction cash tender offer, which is ongoing at the present time. As evidenced by these actions, we're reinvesting the business while also returning capital, highlighting our team's commitment to creating shareholder value. We're excited about our position as we deploy -- to pursue profitable growth and generate strong returns for our shareholders. Now turning to more specifics of our performance for the quarter, as shown on Slide 6. Our performance in the second quarter reflects our team's continued commitment to operational excellence and to the value of the investment we've made in our infrastructure and partnership relationships. The macroeconomic backdrop remains challenging and global supply chain constraints and high inflation have created a recent industry-wide sourcing and cost challenges. Total landed cost of products, which includes the cost of goods, plus transportation has risen market-wide. While ODP is not immune to these impacts, and we are experiencing increased cost pressure, the investments we made in our supply chain infrastructure and partner relationships place us in a better position than most companies to navigate through these challenges. The investments we have made in our private fleet, the flexibility of our distribution network, which includes our long-term relationships with our distribution partners and suppliers and our global sourcing office all remain key differentiators. Additionally, pricing flexibility is helping us balance revenue and cost of goods, helping us to maintain or improve margins. Overall, our top line results were down slightly over last year, partially related to fewer retail locations in service versus a year ago due to planned store reductions. The reduced store footprint and lower traffic resulted in lower sales year-over-year in our Retail division, which was offset by stronger sales in our Business Solutions Division as we continue to see improving back-to-office trends in the quarter. In all, our compelling customer value proposition, combined with our team's strong execution helped us drive approximately $54 million in adjusted operating income in the quarter and strong EBITDA results. Now turning to our divisional performance, starting with our Business Solutions Division, or BSD, as highlighted on Slide 7. Our BSD segment currently consisted in both our contract and our e-commerce channels provides a strong value proposition with a broad product and service assortment backed by a trusted supply chain operation. As a reminder, this segment of our business serves nearly half of the Fortune 500 companies as well as medium and small enterprises and consumers through our digital presence. BSD's revenue performance improved in the quarter, up 6% year-over-year driven by stronger traction in our contract channel as businesses continue to return to the office. This result was particularly impressive given the ongoing sourcing and supply chain challenges. We saw improved demand among private enterprises and education customers through our contract channel, partially offset by lower sales to our e-commerce channel related to lower demand for certain product categories previously in higher demand during the pandemic. Demand for core supply categories, copy and print services, workspaces and technologies showed strong performance, partially offset by lower sales of cleaning and breakthrough products relative to last year. Adjacency categories including workspaces, technology, cleaning and breakroom as well as copy and print remained at 44% of total BSD sales in the quarter. From an operating perspective, our operating income versus last year was up about 45% as we execute upon our low-cost model approach inflect our distribution assets. This approach, coupled with enterprise customer analysis and pricing escalation scenarios helped to offset inflationary pressures that led to margin improvement in our contract business. We also continue to do an excellent job in both retention and winning new business. Our retention rate remains very strong near historic levels, and we're earning new business. We're continuing to work with our customers to better understand their needs in the new normal environment, flexing their ecosystems to support them in a hybrid setting or in the office. A true testament to this can be seen in our recent results. Our weekly sales trends indicate that we're continuing to make progress towards recapturing volumes as return to office trends continue and as we continue to work with our customers in a work-from-anywhere environment. We're also announcing a new President, David Centrella, a company veteran to lead the new ODP Business Solutions and are excited by the positive impact he's already had on the business and team members. As we look forward, David and his team will continue to make progress on executing upon initiatives to further drive customer profitability and growth. Now turning to our performance in our Retail division, as shown on Slide 8. Our Retail division again drove solid margin performance in the quarter as our team executed upon our low-cost model approach and delivered a value proposition that continue to resonate with our customers. I'm extremely proud of our retail team for continuing to drive a positive shopping experience, leading to continued strong Net Promoter Scores above 70% among the best in the industry. Our revenue performance in the quarter was lower versus last year, partially driven by fewer stores and service as a result of planned store closures as well as lower traffic trends in the quarter, which were partially offset by stronger sales per shopper as well as strong omnichannel sales in the quarter, supported by our 20-minute pickup guarantee. From a product perspective, an increase in demand for copy and print services was offset by lower sales of cleaning and PPE products, supplies as well as technology and PC products, which were negatively impacted by supply chain and sourcing challenges. The number of out-of-stocks in the quarter continue to run significantly higher than pre-pandemic levels, most notably for technology products and PCs driven by the continued chip shortages as well as overall challenges for components, including certain ink and toner. We're continuing to work with our vendors and partners to efficiently source these products and improve our inventory levels, but we expect these challenges persist in the near term. Operationally, our teams continued focus on our low-cost model help to offset some of these challenges. We delivered a 5% increase in operating income, driven by lower SG&A expenses, product mix and lower operating lease costs. Turning to Slide 9. In the quarter, we continue to make progress on our strategic initiative of further aligning our assets to support our B2B and consumer businesses, forming the foundation of our 4 business unit strategy. As I mentioned last quarter, early on, we recognized a powerful combination of the numerous asset support of our business. Accordingly, we have invested in and enhanced our unique supply chain and distribution network, developed a strong market and digital presence and expand our offerings in the B2B market. We also took deliberate actions to support our strategy and create the flexibility to align these assets to support our business for the future to further unlock shareholder value. Through the process of analyzing the assets that control our business and how to leverage these capabilities, we've continued to make progress on aligning these assets to support our go-to-market strategies in our B2C, B2B, digital platform and distribution businesses. These efforts have helped us develop a clear line of sight for each of these businesses and the strategy behind driving future profitable growth, which we will share more at Investor Day. And during the quarter, we continue to separate the operational components of our business that are necessary as we build unique routes to market to support business customers and consumers. This challenging mission involves hundreds of process reviews and assessments, uncoupling process and flows, some of which have existed for decades. And while we still have some work to complete on this path in the coming year, we have mostly completed our strategic realignment, which has resulted in forming 4 highly focused operating businesses, reenergizing our teams all under our holding company structure. Highlighting these, I will turn first to ODP Business Solutions, a leading B2B solutions provider serving small, medium and enterprise level companies. This includes a contract sales channel of our BSD division, including our Federation Entities, comprised of the regional office supply companies we acquired over the past few years, targeting under some geographic areas as well as granted toy serving commercial contract customers in Canada. Next up is Veyer, created through our separation process and is a world-class supply chain distribution, procurement and global sourcing operations, supporting both our B2B and B2C businesses as well as logistics need for other third parties in the future. Veyer provides a strong value proposition, which we plan to grow over the next few years as we continue to evolve the platform. Next is Varis, which, as many of you know, is our B2B digital platform technology business, focused on transforming digital commerce between buying organizations and suppliers. And finally, Office Depot, a leading provider of retail consumer and small business products and services and what our brand is most recognized for. Our progress in the quarter has been terrific in preparing our foundation to support the go-to-market strategies for each of these highly focused businesses. And moving forward, we're focused on leveraging these assets to drive future profitable growth. Now I'd like to provide insight into our progress on our digital platform business, Varis, as shown on Slide 10. As a reminder, Varis is a technology company that's focused on reducing the complexity and friction in B2B procurement and distribution. Those with any experience in this space know that buyers and suppliers have been using inefficient legacy systems and processes for decades. And those systems create inefficiencies and drive up costs for both. At the same time, more and more B2B transactions are moving online, and the expectations from a workforce that continues to be digitally enabled, has propelled the need to engage suppliers and more seamless and frictionless way while driving the economics toward contract compliance and purchasing leverage. And from a consumer perspective, we benefited from new and innovative solutions. However, there is a very wide gap when it comes to solutions tailored to the unique needs of businesses. And it is this gap that Varis is positioned to address. The reality is that neither procurement organizations nor suppliers are in a position to invest in technology and user experiences that are holistic for their employees or customers. Varis, our digital platform is being developed with a flexibility so organizations can focus on what makes them prosper, helping them grow their strategic partnerships and their business. Our focus is enabling both buyers and suppliers to win through our seamless end-to-end solutions. In the quarter, we continue to make strong progress towards Varis development and platform launch in 2022. We're receiving good feedback from the private preview launch on the Microsoft Dynamics 365 Business Central platform, and we're incorporating feedback we are receiving. We're continuing to attract new customers to the platform, both buyers and suppliers, and we are super excited by having Prentis and team give an update at our upcoming Investor Day. Wrapping up my comments and before I turn the call over to Anthony, I want to thank all of our team members for performing at such a high level while navigating all the macroeconomic uncertainty and as the company undertook a strategic review of our B2C business. The progress we have made to establish our four-business unit strategy places us in a position of strength as we pursue the large and growing market opportunity ahead of us. And we're excited to highlight our business unit strategy and opportunities set for profitable growth during the Investor Day meeting we are planning for later this year. With that, I will turn the call over to Anthony for a more detailed review of our financial results.
Anthony Scaglione: Thank you, Gerry, and good morning, everyone. I'm happy to be here today to discuss our financial results for the second quarter of 2022 and the actions we are taking to drive additional shareholder value. Before I begin, I'd like to say how proud I am of our entire team for remaining focused on driving strong results in light of all the strategic consideration the company has undertaken and against a challenging industry backdrop. We continue to deliver upon our low-cost model approach and utilize our assets to help offset some of the supply chain and cost pressures that the entire market has been experiencing. We also continue to make progress on our operational separation activities as well as on our build-out of our data-driven platform for the future. Our entire team rose to meet the challenges of the quarter. As you heard earlier, the sourcing and supply environment remains challenging and inflation remains at its highest level in over 40 years, creating additional cost pressures not only for us but for nearly every company and consumer. Distribution and supply chain costs are up significantly. Fuel prices have spiked and labor scarcity and costs have continued to rise. All of these factors have made it more challenging for us and nearly all industries to source, import and distribute products and services, and to do so at a reasonable cost. These costs and sourcing challenges have continued into the second quarter, impacting our cost of goods sold, supply chain and labor, particularly as we build up inventory for the upcoming expected strong back-to-school season. That said, while we do see impacts to our operations, we remain in a strong position to help mitigate many of these impacts. Record high inflation and energy prices have increased the overall cost of product from our suppliers impacting the cost of many of our SKUs, including paper, furniture, tech and other essential office categories. Next, supply chain costs continue to be inflated as transportation, labor and fuel costs have risen. Market demand remains strong. Fuel prices are higher, more than 50% higher for diesel fuel and capacity remains constrained. Accordingly, our supply chain cost to serve was up approximately 100 basis points in the quarter compared to last year due to higher transportation and container costs, as well as higher third-party logistic rates and labor. Specifically for labor costs, wages for logistic workers and general wage labor across our retail operations combined were up mid-single digit across the business. Also, our out-of-stocks remain at elevated levels, although we have seen some progress in this area. And while we are beginning to make sourcing progress in certain areas, the highest challenge areas continue to be in certain technology product categories, including PCs, printers and ink, causing our overall out-of-stocks to be higher than normal. While these challenges have persisted in the second quarter, we continue to take actions to address. These include leveraging our private fleet and third-party relationships to help mitigate some of the cost increases in domestic transportation and ensure reliable service to our customers. I would note that container cost for imported products saw a significant rise in the quarter and the first half of this year, as we source certain products and built up inventory for our upcoming back-to-school season. This has led to higher cost of inventory on a relative basis for certain products, primarily in the workspace category. However, we continue to see good demand and expect to turn that inventory over the next few quarters. We're also using proprietary developed slow path data tool, helping us to optimize our supply chain operations to help reduce the cost to serve by route to market and product. And as we stated last quarter, we've been utilizing flexible pricing actions and passing through cost increases where possible to compensate for increases in COGS, while continuing to remain competitive with the market. Our team's ability to execute upon these actions is a reflection of the investments we have made over the years and is a core strength in our operational excellence. As I pointed out on last quarter's call, the environment continues to be challenging, and we expect these conditions to persist in the near term. That said, we continue to be in a strong position to continue to mitigate some of these challenges and manage accordingly. Now turning to the highlights of our financial results, as shown on Slide 12. Consistent with previous quarters, we have provided our results on both a GAAP and adjusted basis. We generated total revenue of just over $2 billion in the second quarter, 2% lower than Q2 of last year. This was a solid result as we had 71 fewer stores in service compared to the same period last year. We again saw improving back-to-office trends during the quarter, helping us drive stronger performance in our enterprise contract channel both year-over-year and sequentially. We generated stronger sales through our contract channel in core supplies, cleaning and breakroom, copy and print categories, partially offsetting the lower sales of technology and in categories primarily related to the supply chain challenges I mentioned earlier. Our retail channel again drove solid operating performance, providing strong support for hybrid workers, education and small business customers. GAAP operating income in the quarter was $28 million, slightly down from $30 million last year. Included in operating income was $26 million of charges, consisting primarily of $23 million in costs largely related to our separation activities and the remaining $3 million is associated with noncash asset impairment charges primarily related to the company's retail store locations. Part of the $23 million in restructuring costs we incurred were directly attributable to the sale process, including legal and accounting expenses and certain IT costs that were principally related to an external separation. That being said, these costs also greatly facilitated our ability to stand up our B2C, B2B and Veyer routes to market, and we expect to continue efforts to fully operationalize all elements of our business unit structure across our platform. Year-to-date, we incurred $32 million of restructuring and separation costs associated with our refocused route to market, and we anticipate additional separation costs as we fully streamline the structure. Excluding these and other items, our adjusted operating income for the quarter was $54 million compared to $43 million in Q2 of last year. This includes $37 million of unallocated and other expenses in the second quarter of 2022. Adjusted EBITDA of $91 million for the quarter was up compared to $84 million in last year's second quarter. This includes adjusted depreciation and amortization expense of $34 million and $36 million in the second quarters of 2022 and 2021, respectively. Excluding the after-tax impact from the items mentioned earlier, adjusted net income for the second quarter was $39 million or $0.79 per diluted share compared to adjusted net income of $33 million or $0.58 per diluted share in the year period. Turning to cash flow. Operating cash used in the quarter was $114 million, which included $14 million of restructuring costs. This compared to operating cash flow of $32 million last year. Lower operating cash flow in the quarter was primarily related to the timing of working capital items, including inventory, which I will speak to in a moment, timing of trade payables as we source certain products with tighter terms and the natural buildup of accounts receivable as we continue to see stronger BSD sales. In addition, certain product costs were primarily impacted by the aforementioned container costs impacting their carrying value. So while the dollar value of inventory is higher on a relative basis, causing some of the cash flow usage, we feel comfortable about the absolute level of inventory heading into the anticipated stronger back-to-school season we expect. Capital expenditures in the quarter were $21 million compared to $16 million in the prior year period, reflecting targeted growth investments in our digital transformation, supply chain and e-commerce capabilities. In future quarters, we expect to increase our capital investments allocated to these initiatives and capabilities as we continue to make progress on Varis and Veyer. Adjusting for cash charges associated with our separation and restructuring plans in the quarter of approximately $14 million, adjusted free cash flow in the quarter was a use of $121 million. Now turning to Slide 13. Before I begin my discussion of our business unit performance, I would like to highlight some of the future segment reporting changes that we intend to implement beginning with our reporting out in Q3. Beginning in Q3, we're planning to report on a four-business unit segment structure as we near the completion of our operational separation. As shown, these segments are ODP Business Solutions, our enterprise contract business; Veyer, our supply chain and procurement business; Office Depot, our omnichannel consumer business; and Varis, our digital platform business. One of the primary changes I would like to highlight is our e-commerce business which is currently largely reflected in our BSD segment will now be reflected in our consumer business going forward, building on the omnichannel capabilities we have today, which will be leveraged even further in the future. And finally, Veyer which today, its operations are embedded and allocated to both our retail and BSD segments will become its own segment as they continue to support the supply chain needs of our consumer and B2B businesses and pursue new third-party relationships to further optimize the assets and our capabilities. The work we have done to prepare to report under our four-business unit structure was no easy task. I would like to thank our entire team for rising up to meet this challenge and working diligently on our operational separation activities and positioning us to report on our four BU segments earlier than anticipated. We are excited to share more at our upcoming Investor Day. Now turning to our current business unit performance, starting with BSD as shown on Slide 14. Our BSD segment continue to deliver improving results as the return-to-office trends continue to gain traction. Total revenue in BSD was $1.2 billion in Q2, up 6% in the quarter relative to Q2 of last year, driven by an increase in sales in our contract channel as businesses began to return to the office. This was partially offset by lower sales velocity in our e-commerce channel, which we expected, relative to the stronger demand experienced last year during the heightened conditions related to the pandemic. For total BSD, we saw stronger demand for core supplies in certain adjacency categories, including cleaning and breakroom, furniture and copy and print services, helping to offset lower sales in technology categories. More specifically, in our contract channel, sales for core supplies categories were up approximately 9% year-over-year, highlighting the strong correlation between return-to-office activity and core supplies growing in the mix. Total ad categories, which are products outside of our traditional office product suite generated about 44% of total BSD revenues and remain an important component of the overall value proposition and product basket for our customers. These categories include cleaning and breakroom, technology, furniture and copy and print services, offsetting some of the product basket for our customers. These categories include cleaning and breakroom, technology, furniture and copy and print services. Offsetting some of these positives were lower sales through our e-commerce channel for certain supply product categories previously in strong demand during the height of the pandemic. That being said, our e-commerce channel continues to be a key component of our omnichannel presence, providing our customers with the convenience and ease of shopping online and to help fuel our strong and growing BOPIS offering with those sales reflected in our retail business. BSD's operating performance continues to improve significantly over last year, generating operating income of $45 million in the quarter, up about 45% over last year. This represented a 100 basis point increase as a percentage of sales. A mix shift into core supplies, lower SG&A and pricing strategies that we've implemented helped to mitigate the increase in supply chain costs and inflationary pressures. I would add that the work we started a few months ago, utilizing our data-driven approach and performing line level reviews of customer contracts is helping us identify margin opportunities in the business, meeting customer demands in the most efficient way. Now turning to our Retail division results as shown on Slide 15. Our Retail division again drove solid operating results in the second quarter, continuing to provide a strong value proposition to our home office, education, consumer and small business customers. Reported revenue in the quarter was down 11% to $811 million, driven by 71 fewer retail stores in service this year versus last year, related to our planned store closures and lower store traffic. We closed 12 stores in the quarter, ending the quarter with 1,020 stores in operation. Partially offsetting lower same-store traffic in the quarter was higher conversion rates and average order volumes, leading to strong increases in sales per shopper. We continue to see strong demand for our copy and print services and increased demand in certain core supply categories on a comparable store basis. Additionally, our omnichannel presence on a same-store basis continued to grow, with strong BOPIS sales in the quarter. Supporting the success is our 20-minute pickup guarantee, will continue to be a strong value proposition for our customers. Balancing this progress, we saw lower demand for product categories related to the pandemic, including PPE and cleaning products, furniture, technology and certain supplies. I would mention that out of stocks also added to lower sales of technology products like PCs as well as ink during the quarter. From an operating perspective, we continued to deliver solid operating margin performance in the quarter despite the higher cost challenges. We generated operating income of $46 million in the quarter, up 5% compared to last year. Operating margins were slightly just under 6% of revenue, up about 90 basis points compared to last year as continued cost efficiencies and SG&A, product mix, pricing strategies helped to offset and mitigate higher product and supply chain costs. Now briefly turning to additional balance sheet and capital allocation highlights as shown on Slide 16. Our balance sheet continues to be a source of strength, ending the quarter with total liquidity of approximately $1.4 billion, consisting of $417 million in cash and cash equivalents and $953 million in availability under our asset-based lending facility. Total debt at the end of the quarter was approximately $194 million. From an overall capital allocation perspective, we have continued to take actions to enhance shareholder returns in several areas. First, in the quarter, we completed our ASR plan that we put in place in Q4 of last year, retiring an additional 730,000 shares in Q2. In total, for our ASR plan, we retired over 3.5 million shares under the program. Adding this to our open market share repurchases last year, we have returned over $300 million to shareholders since Q2 of last year. Next, in an ongoing effort to enhance returns to shareholders, in July, our Board approved a $600 million share repurchase authorization, and we launched a $300 million Dutch auction tender offer, which is ongoing to date. This action reflects the confidence our board has in our strategy and is a true testament of our team's commitment to creating shareholder value and to the strength of our balance sheet. We will share more about the outcome of the Dutch tender offer at the conclusion of the program. Now turning to our 2022 guidance as shown on Slide 17. Our guidance for 2022 remains consistent with our pre-announcement press release we issued on July 18, 2022. For the year, we are expecting consolidated revenue in the range of $8.45 billion to $8.6 billion, adjusted EBITDA in the range of $430 million to $460 million, adjusted operating income in the range of $285 million to $315 million and adjusted earnings per share of $4.10 to $4.50 per share. Additionally, we are anticipating adjusted free cash flow in the range of $200 million to $225 million. This outlook assumes a reasonably stable macroeconomic environment for the second half of the year, and it also recognizes that our fiscal year-end this year will occur on December 31, which may affect the timing of certain income statement and working capital items. We've executed well in the first half of the year, driving solid results and making significant progress on aligning our assets to support our four-business unit strategy for the future. Our strong balance sheet, diversified route to market and long-term free cash flow conversion profile has positioned us with the ability to launch our tender offer and continue to invest in our business, while remaining in a position to continue to enhance shareholder returns over time. Operationally, our team will remain highly focused on executing across our business, working to mitigate cost pressures, and utilizing our data-driven approach in our contract channel to drive profitable growth while delivering upon our consumer plan. We're very excited about the progress we are making in Varis, working to complete its build-out and adding to its capabilities. While gaining momentum with new customers and suppliers, we are seeing real positive velocity in all areas. In summary, we're excited about the opportunities for the future and look forward to presenting the new ODP at our Investor Day meeting later in the year. With that, operator, we will turn it over for questions.
Operator: [Operator Instructions] We have a question from Mike Lasser with UBS.
Mike Lasser: My first question is on the decision to put the separation of the businesses on hold. And if the 2-parter, often suppliers are inherently going to be a cyclical business over the long run. So, a, what conditions need to exist for you to move forward with the separation? And b, as you concluded the analysis, what dis-synergy number did you come up with that would have needed to be overcome in order to make the economics work for separation?
Gerry Smith: Thanks, Michael, this is Gerry and I will -- Anthony and I will double-team this. So from a -- from a Board perspective, as we looked at all the different options, we felt that staying -- the four BU strategy was, by far, the best strategy at this time from an economic perspective and creating shareholder value. We do think that putting the online and the Retail businesses together is a real value generator for us. So there will be a B2C business that we think is going to be a great business that we can get value by putting the online into the physical and digital experiences together. And we think it's a great cash engine, and Kevin and his team have done a remarkable job on customer experience, on expense management, low-cost model, and our customer satisfaction as well. And we think that from a valuation perspective by unleashing these other 3 areas, we're going to have a bigger valuation opportunity with our traditional B2B business, the ODP Business Solutions, which Dave Centrella will run. And we think, and I've talked about it since day one that we have a lot of value in our assets, especially Jon Gannfors will have 2 big internal customers to start out. But we're also getting some other logos and we'll continue to build that business. And we think our supply chain business as well as our various digital platform business, I'll make a few comments on that. Prentis and team have made remarkable progress on bookings and adding suppliers and the product launches in Q4. But from -- this is '22 is a build year. We're ahead of plan now across every KPI in that business, and we're super excited to talk you more about at Investor Day. But if you look at those 4 areas, we think not just being viewed as a retail business across the whole business, by having this separation will be great. And then obviously, we'll continue to evaluate the future where value opportunities are, but we think at this time, with the economic conditions we have, these 4 businesses are best to stay integrated intact. Anthony, anything to add?
Anthony Scaglione: Michael, so I think it's less about the dissynergy number in absolute and more about the economic conditions that Gerry just mentioned in the current market. So as we looked at the four BU strategy and we looked at the opportunities afforded by the four BU strategy that drive further economics as well as the transparency that we will be providing through the four BU strategy, we felt that this is the best opportunity that over time should allow us to continue to command a multiple expansion in each of these businesses, which today doesn't afford us based on the transparency that the further alignment will provide.
Mike Lasser: Okay. And my follow-up question is on the SG&A. SG&A dollars declined $13 million year-over-year, recognizing a portion of that is due to the savings associated with the lease expense from closing stores, but you are making sizable investments in other areas of the business that would require some incremental operating expense dollars. So how much further can you reduce your cost structure without a potentially sacrificing some of the customer experience? It's understandable that it hasn't had an impact as of yet because the NPS scores have been pretty good, but traffic has been under pressure, and maybe if not capturing the full totality of how consumers view the Retail experience.
Gerry Smith: And I think it's a great question, Michael, but I think it's important to emphasize that one of our hallmark strategies is, one of our hallmark things I'm trying to drive with Anthony in to the DNA of the company is what we call the low-cost model. That's not just cutting heads, but it's looking for inefficiencies. It's trying to get productivity. It's redesigning processes. We've done a tremendous job over the last 4 or 5 years, and Tim can get into more details and specifics offline, but of taking tremendous amount of cost out of this business. Super proud of that. And spending 30 years in tech hardware, you do that to stay alive every year. And so that's kind of minds that we're trying to bring is find ways to optimize the business, look for better efficiencies. We do a lot of Lean Six Sigma type of work for some of our transformation teams. But we always think there's opportunity. And why NPS is so important, and Kevin's team has been, I mean, above a 70 score is tremendous. That's world-class. If we do think it's important in meat and greet, we do -- we know there is a conversion difference when you do it is a better customer set. But across the whole business, we're focused on that customer experience piece. So Anthony and I and my leaders job is to balance of let's continue to operate in the low-cost model, but always make sure we are putting money in investment. We're excited by the opportunity to grow our supply chain business. We're excited by the opportunity with Varis, which is really and not just office supply. It's a true marketplace that will be much more, I'll say, cyclically dependent like you talked about. And so we're trying to address that through investments. I think we've done a really good job of balancing that plus, we've also done a good job of, we think, in the last couple of years, especially of returning capital to our shareholders as well, $300 million last year. We had the $600 million split between the tender and the [$105 million] over the next couple of years. So we're trying to have that balance of strategy, investment, low-cost model and then obviously, shareholder return as well. A great question.
Operator: There are no other questions in the queue. I'd like to turn the call back to Gerry Smith for closing remarks.
Gerry Smith: I want to thank everyone for joining the call today. And again, Michael, thank you for the questions and look forward to our Investor Day in the fall, and thank you, everyone, for joining us today. And we're committed to continue to drive shareholder value and make sure we focus on our customers as well. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.